Operator: Good day, and welcome to Bunge First Quarter 2024 Earnings Release and Conference Call. [Operator Instructions] Please note, this event is being recorded.
 I would now like to turn the conference over to Ruth Ann Wisener. Please go ahead. 
Ruth Wisener: Thank you, operator, and thank you for joining us this morning for our first quarter earnings call. Before we get started, I want to let you know that we have slides to accompany our discussion. These can be found at the Investor Center on our website at bunge.com under Events and Presentations.
 Reconciliations of non-GAAP measures to the most directly comparable GAAP financial measure are posted on our website as well. I'd like to direct you to Slide 2 and remind you that today's presentation includes forward-looking statements that reflect Bunge's current view with respect to future events, financial performance and industry conditions. These forward-looking statements are subject to various risks and uncertainties. Bunge has provided additional information in its reports on file with the SEC concerning factors that could cause actual results to differ materially from those contained in this presentation, and we encourage you to review these factors. 
 On the call this morning are Greg Heckman, Bunge's Chief Executive Officer; and John Neppl, Chief Financial Officer. I'll now turn the call over to Greg. 
Gregory Heckman: Thank you, Ruth Ann, and good morning, everyone. I want to start by thanking the team for delivering another quarter of strong results, which reflect continued focus and great execution. We're off to a good start in 2024 amid a more balanced market environment than we've experienced over the past few years.
 Our team's capabilities and our global platform, again demonstrated we can navigate shifts in supply and demand with agility and speed. Our focus remains on delivering great value to all stakeholders while investing to strengthen our business so that we can provide customers with solutions not only today but over the longer term. We are making excellent progress on integration planning for our announced combination with Viterra. We're very pleased with how well the teams are working together, and our confidence in our ability to hit the ground running on day 1 has only strengthened as we've moved through the planning process. We still expect the transaction to close midyear, and we continue to engage with the relevant regulatory authorities as we work toward gaining the remaining approvals. 
 We progressed on other growth projects that will improve our ability to supply the renewable fuels market. We announced a strategic partnership with Repsol, a global multi-energy company in Spain, and we broke ground on our previously announced oilseed processing switch plant in Destrehan, Louisiana, with our joint venture partner, Chevron. We also successfully commissioned our state-of-the-art edible oil refinery in India, enabling us to more efficiently serve our food customers in a growing region.  
 Turning to our results. We delivered another solid quarter, driven by strong performance across our core businesses. We also saw good results in our noncore sugar joint venture. In addition, since we reported the fourth quarter,  we repurchased $400 million of Bunge shares, making meaningful progress against the repurchase plan we outlined following the announcement of the Viterra transaction.  
 Looking ahead to the rest of 2024, our visibility into the back half of the year remains limited, and many of the dynamics we discussed last quarter remain in place. We're continuing to manage the evolving supply-demand environment in markets around the world, demonstrating the benefit of the work we've done to strengthen our business. Based on what we see in the markets and the forward curves today, we are maintaining our guidance for full year adjusted EPS of approximately $9. 
 I'll now hand the call over to John to walk through our financial results and outlook in more detail, and then we'll close with some additional thoughts. John? 
John Neppl: Thanks, Greg, and good morning, everyone. Let's turn to the earnings highlights on Slide 5. Our reported first quarter earnings per share was $1.68 compared to $4.15 in the first quarter 2023. Our reported results included an unfavorable mark-to-market timing difference of $0.94 per share and a negative impact of $0.42 per share related to transaction and integration costs associated with our announced business combination with Viterra. Adjusted EPS was $3.04 in the quarter versus $3.26 in the prior year. Adjusted core segment earnings before interest and taxes, or EBIT was $719 million in the quarter versus $756 million last year.
 In Agribusiness, processing results of $411 million in the quarter were up slightly from last year, as higher results in Europe and Asia crush value chains were partially offset by lower results in North and South America. In merchandising, lower results were primarily driven by our global grains and oils value chains where higher volumes were more than offset by lower margins. Refined and Specialty Oils had a solid quarter, but down from a strong prior year. Higher results in Europe were more than offset by lower results in North America and Asia. Results in South America were in line with last year.
 In Milling, higher results were driven by South America, reflecting improved margins in milling operations and a more favorable origination market environment. Corporate and other improved from last year. The decrease in corporate expenses primarily reflected the timing of performance-based compensation. Higher other results are related to Bunge ventures in our captive insurance program. In our noncore Sugar & Bioenergy joint venture, higher sugar volumes and prices more than offset lower ethanol prices. 
 For the quarter, reported income tax expense was $117 million compared to $183 million in the prior year. The decrease was primarily due to lower pretax income. The higher effective tax rate of approximately 32% in the quarter reflected a discrete tax adjustment related to the Argentine peso devaluation. As a result, we have increased slightly the midpoint of the range of our estimated annual effective tax rate.
 Net interest expense of $66 million in the quarter was down slightly compared to last year due primarily to average debt levels.
 Let's turn to Slide 6, where you can see our adjusted EPS and EBIT trends over the past 4 years, along with the trailing 12 months. The strong performance reflects our team's continued excellent execution while also delivering on a variety of initiatives to position the company for long-term growth.  
 Slide 7 details our capital allocation. In the first quarter, we generated $514 million of adjusted funds from operations. After allocating $101 million to sustaining CapEx, which includes maintenance, environmental health and safety,  we had $413 million of discretionary cash flow available. Of this amount, we paid $95 million in dividends, invested $135 million in growth in productivity-related CapEx and repurchased $400 million of Bunge shares, achieving our commitment to repurchase $1 billion of shares prior to the closing of our announced combination with Viterra. This resulted in the use of $217 million of previously retained cash flow.  
 Moving to Slide 8. At quarter end Readily Marketable Inventory, or RMI, exceeded our net debt by approximately $4 billion. Our adjusted leverage ratio, which reflects our adjusted net debt to adjusted EBITDA was 0.1x at the end of the first quarter.
 Slide 9 highlights our liquidity position. At quarter end, we had committed credit facilities of approximately $8.7 billion, which includes $3 billion that will become available to draw upon at the close of the Viterra transaction. Of the $5.7 billion available to us currently, all was unused at quarter end, providing us ample liquidity to manage our ongoing capital needs. These amounts are in addition to $8 billion of term loan commitments that we have secured to fund the Viterra transaction. Further, as part of our capital structure planning, we recently doubled the size of our CP program from $1 billion to $2 billion.
 Please turn to Slide 10. For the trailing 12 months, adjusted ROIC was 17.7%, well above our RMI adjusted weighted average cost of capital of 7.7%. ROIC was 13.9%, also well above our weighted average cost of capital of 7%.  
 Moving to Slide 11. For the trailing 12 months, we produced discretionary cash flow of approximately $1.9 billion and a cash flow yield of 16.9%.
 Please turn to Slide 12 and our 2024 outlook. As Greg mentioned in his remarks, taking into account first quarter results, the current margin environment of forward curves. We continue to expect full year 2024 adjusted EPS of approximately $9. Note that this forecast excludes any pending transactions that are expected to close during the year.
 In Agribusiness, full-year results are forecasted to be similar to our previous outlook and down from last year, primarily due to lower results in processing where margins remain compressed in most regions.
 In Refined and Specialty Oils, full-year results are expected to be similar to our previous outlook and down from the record prior year, reflecting a shift in supply environment, particularly in the U.S. In Milling, full-year results are expected to be similar to our previous outlook and up from last year. And corporate and other, full-year results are expected to be similar to our previous outlook and up from last year.  
 In noncore, full year results in our Sugar & Bioenergy joint venture are expected to be in line with our previous outlook and significantly down from last year, reflecting lower Brazil ethanol prices.
 Additionally, the company expects a following for 2024, an adjusted annual effective tax rate of 22% to 25%, net interest expense in the range of $280 million to $310 million, which is down from our previous expectation of $300 million to $330 million; capital expenditures in the range of $1.2 billion to $1.4 billion; and depreciation and amortization of approximately $450 million.  
 With that, I'll turn things back over to Greg for some closing comments. 
Gregory Heckman: Thanks, John. Before turning to Q&A, I want to offer a few closing thoughts. As we look ahead, we remain confident in our team's ability to capture opportunities as we work to find solutions allow us to even better serve the needs of customers at both ends of the value chain, farmers and in consumers.
 We're proud of the work we've done to strategically position our business with the increased efficiency of our global platform. Our combination with Viterra will help us further accelerate our diversification across customers, assets, geographies and crops, providing us with more optionality to help address the world's food security needs.
 This combination will also enhance our role as a bridge between growers and end consumers to adapt and prioritize new sustainability practices that produce low CI products while bringing value back to the farm. For example, we recently announced a $20 million investment in Brazil to more than double our regenerative ag program to 600,000 hectares. The investment would be used to pay premiums to farmers and will also finance the provision of free technical assistance, precision agricultural tools and measurement technologies that help producers adopt techniques to reduce emissions.
 In the Southern U.S., we also successfully established a commercial pilot of winter canola hybrids in partnership with Chevron and Corteva Agriscience. These crops have environmental and soil health benefits similar to cover crops and can be an additional source of revenue for growers, also helping meet sustainability requirements of our end customers.
 We're committed to significantly growing the program for the 2025 harvest season. I continue to be impressed by the innovation, collaboration and commitment of the Bunge team as we work together to deliver on our critical mission to provide essential food, feed and fuel to the world.  
 And with that, we'll turn to Q&A. 
Operator: [Operator Instructions] The first question today comes from Adam Samuelson with Goldman Sachs. 
Adam Samuelson: So Greg, John, I guess, first question, just thinking about the first quarter results in the context of the full year and an unchanged outlook. Would you characterize the forward kind of environment for the balance of the year is actually weaker than what you had been looking at 3 months ago? Or would you just view this as a just appropriate level of conservatism given limited forward book and kind of where the curve sits today? And kind of with that, can you just maybe give us your view on oilseed processing margins just around the world as you see them today? 
Gregory Heckman: Yes. No, we really don't see it differently. What we talked about last time, of course, when we talked about the approximately 9 for the year was really kind of seeing it 50-50 between first half and second half, which we continue to see. What we did see was a little stronger Q1 and some of that will come out of Q2. So Q2 will be a little bit softer, but we still see the halves is about 50-50 and still see the year the same at approximately 9.
 And then as far as current crush as you kind of walk around the world, if you look at soy, the setup right now, farmers of course, are responding to lower prices as we get more in balance on supply and demand. They responded to those lower prices by being pretty stubborn about selling. So you've got higher farmer retention. And that's kind of what happens as you transition from multi-years at higher prices. 
 So the market has gone to very spot, not only for the farmers on selling, but the buyers, right? The buyers of the finished products have now been paid to wait to buy in the spot as prices have moved lower. And the other transition that, of course, we're seeing is you've got a supply chain that really the stresses off of. So as people pull down inventories as they're not really holding those safety inventories anymore.
 So Brazil and Europe have recently improved as we came through Brazil harvest and saw a lot of origination and with the little pushes of origination, we have seen improve have been around FX change and the pace of harvest at the end there in Brazil. So that did help Brazil and Europe.
 Argentina, we are expecting those margins to pick up later in the year. They've been a little better here as we got started on harvest, but that will really be as the producer watches the government, what happens as far as the valuation in Argentina and then any other government programs, and as we see the farmer marketing is there, that will be the key on the margins.
 U.S. has been okay in the nearby. The curves definitely are weaker into Q2 and 3 and then kind of as usual, expecting new crop Q4 the curves get better.
 And then China, crush margins continue to be volatile, kind of similar story you heard last year. Spot has held up okay but very, very low price discovery forward. So the team has been doing a nice job of managing through that.
 And then while soy seeds are down versus last year, but they're still good in Europe and in North America, and that's really led by the strong oil leg and pretty good supply of seeds. So that's kind of how we see things sitting up right now. 
Adam Samuelson: If I can just pick up on that last point on the oil leg. And I'd just love to get your view on renewable diesel demand for vegetable oils and feedstock versus other waste fats and oils. It does seem like supply a waste fat in particular, out of Asia have been accelerating pretty meaningfully. How are you looking at RD feedstock demand kind of over the balance of the year? And how -- does that start to transition to '25 with the implementation of the 45C credit in the U.S. 
Gregory Heckman: Yes. And I might start at a slightly higher level on the oil. If you look at palm, some of the benefit on the strength in the soft oil is coming. Palm from a supply has really been flat. And so that growth in palm supply has stopped while domestic demand has continued to grow. So the exportable volumes of palm have been going down globally. So that from a high level is some of the support for oil.
 And then to get more specific to your question around the S&D in North America, yes, it has not been quite as tight in North America as we've seen the low CI feedstocks and primarily UCO, be imported into the U.S. So One of the things that we did talk about in the past is we believe that there was enough supply for the food market as well as the fuel market and that the market would do its work by adding capacity and importing palm to go into food as we saw switching as well as seeing other low CI feedstocks and UCOB imported.
 So I think we've seen that and you've seen while we're continuing to process record amount of vegetable oils into the fuel market, we've seen it a little softer as the RD margins are not as good and the big influx of the UCO. So we've got 1.4 billion gallons coming online here in '24. So we're still on track to have 5 billion gallons in '25. We've got one new plant up and running. We're expecting another plant to come up in Q2 on RD and then another plant in Q4. So there is demand coming here later in the year. 
John Neppl: Adam, I just say -- this is John. In terms of 45C, things are still in process there. I think we're optimistic that veg oil will certainly have a meaningful role going forward. But there's still a few things under -- as you know, under review. So we're like everyone watching that closely. And I think the logical follow-on to that will be would RVO levels get reset in the future because, clearly, the industry is found ample supply for RD and BD and ultimately [ SA ]. So we're hopeful that the EPA sees that as well. 
Operator: The next question comes from Ben Bienvenu with Stephens. 
Ben Bienvenu: I want to follow up on Adam's question around the guidance and focus on kind of the level of visibility that you expect to have through the year. Recognizing we're in a more balanced market environment, is the byproduct of that, that visibility is inherently reduced through all points of the year? Or are there key milestones and triggers as we move through the year that might enhance your visibility into the back half of the year? And if so, maybe give us some insight into what those things are and when you expect to have that visibility? 
Gregory Heckman: Yes. You're correct. There's definitely less visibility into this year than we've had for a couple of years. So not much at all kind of beyond 3 months. I think that will change as we see the farmer behavior as things kind of sort out and send the signals, whether that's the progress of the North American crop that then changes the marketing behaviors of the farmer here in North America as they think about that next crop coming off and rolling their stocks and from a marketing.
 As we see the safrinha crop come off in Brazil, and again, farmer making decisions about what they're storing, what they're moving, the logistical challenges in coordination in Brazil. And then in Argentina, it will be the producer who's been marketing the corn and holding the soybeans, which is pretty historical in Argentina. You've got new regime in place there in the government, so the way you see what government programs and if there's valuation.
 So it will be an interesting year. It definitely is a year of transition of the markets as they get more in balance on the supply and demand. And the other -- the end consumer, right, as well. You continue to see the consumer, what we hear from our customers to trade down to private label and store brands from the brands. And then we're finally seeing a little less traffic in foodservice, where they've been more of a switch to QSR and seeing that slow down a little bit and finally seeing a shift back to eating at home.
 So everyone's kind of finding their way here on the supply and demand side. But it feels like we're starting to get it sorted out and we'll see how these crops, finish getting harvested in the southern hemisphere and how we get the crop planted and how it progresses in the Northern Hemisphere. 
Ben Bienvenu: Very good. Makes sense. John, you made a lot of progress on the share repurchase program, $400 million of stock repurchased during 1Q, $1 billion in the last 3 quarters. I believe your goal was to repurchase half of the $2 billion of stock to expected to repurchase by middle of 2024. Given that you're ahead of schedule of it, does that mean we pull forward the timing of the $2 billion repurchase or we pause here in the short term? What's your expectation to the best you can communicate around cadence of the remaining buyback activity? 
John Neppl: Yes. It's going to really depend a little bit on how things progress on the Viterra transaction and timing around that. But I think it's possible we could pull some of that forward. I think it's hard to commit to that today because with the close of the deal, as you know, we've got target leverage ratios we'd like to make sure we hit at the close of that transaction. And we've got other projects in play today as well, not only CapEx, but as you know, we've always got a pipeline of M&A stuff going on.
 So we'll watch it closely. It's an important part of the allocation, and we'll keep looking for opportunities here as we go forward, whether it's before or after the close of this transaction. 
Operator: The next question comes from Salvator Tiano with Bank of America. 
Salvator Tiano: So firstly, I wanted to ask about Canada, I guess, announcement yesterday about their view that the transaction of Viterra would be anticompetitive. I think they said negative for procurement on the west side of Western Canada and anticompetitive on the Eastern side on the production of canola oil and meal. So given their -- I guess, their view, can you talk a little bit firstly about what are the milestones here? And what could be -- how do this impact the transaction's timeline?
 And also, what are the potential outcomes to resolve these issues? Is there a chance that you may have -- you can get away with divesting nothing? Or do you have to negotiate with them and provide some remedies? 
Gregory Heckman: Yes. I might start kind of at a higher level, we are pleased with the progress we're making. I mean if you look, we got to file in a little 40 jurisdictions and 28 of those have issued unconditional clearances at this point. Of the remaining 13, of course, we've got some of the big ones, U.S., Canada, Brazil, China and the EU. If you remember, Argentina is post-closing review. So while overall, we don't know exactly when we'll get the green light, but we sure haven't seen anything that indicates any material risk to the economics of the deal. 
 From a Canada specific, look, it's good that, that step of the regulatory process is completed and that the Competition Bureau Report as you look through it, the good news in there is they had no concerns with much of what we're doing on the grain purchasing side, the meal sales at ports, the majority of our refined and special oil product sales. So on where there were concerns and topics raised, we look forward to discussing those in greater detail, and we'll be happy to engage as we have been with all the regulators as they raise concerns.
 So when you boil it down, at the end of the day, this transaction is good for Canada, right? Will be more efficient and resilient throughout all of our supply chains.  Markets aren't getting any easier. We'll continue to maintain Canadian leadership in ag and food, and we'll be able to increase our capacity to invest and continue to provide thousands of Canadians with good jobs. So feel good about where we're at, and it's just -- it's -- we don't really see any need for remedies in Canada. It would be too early to speculate on that, but we look forward to engage on the details. 
Salvator Tiano: Okay. Perfect. And I also wanted to ask about the cover crops. You mentioned that the trial this winter went very well. I'm just wondering, at which point do you think you can start commercializing these products and actually start seeing some benefit to the bottom line? And what's kind of the thinking with regard to the economics, like how could this type of products be monetized? 
Gregory Heckman: You broke up right at the beginning. Was the question on winter canola? 
Salvator Tiano: Yes, exactly. 
Gregory Heckman: Yes. Look, we were in the trial phase, running the pilots on winter canola, and we've been very pleased with the producer reaction. We've been pleased with the production and the performance of the winter canola. And so the plan now will be to scale that up in the coming campaign. And as we get visibility to the uptake by the producer and our ability to scale that up, then we'll eventually get to the point to be able to talk about any, any impact to the financials, but it's a little bit early for that.
 And winter canola and the cover crops, I might add, those, of course, we're building those programs towards -- to serve Destrehan and our expansion there in the Gulf. So that's a little bit off in the future as well. So we've got a little bit of time as we build that capacity. 
Operator: The next question comes from Steven Haynes with Morgan Stanley. 
Steven Haynes: Earlier, we kind of talked a bit about the oil side of the equation. I was just wondering if we could come back to the meal side of it. There's some more crush capacity coming in the U.S. this year as your comments before, Argentina potentially kind of a bit more of a factor in the global market. So how are you thinking about both kind of domestic inclusion and export opportunity for meal in the second half? 
Gregory Heckman: No. Thank you. So far here in '24, soybean, meal demand appears pretty good. I mean the lower prices are doing their work. And I think you called it out there, seeing a higher inclusion. The other thing it feels like profitability for the animal segment has bottomed, and as profitability gets better, we probably expect some expansion there. Right now, global animal numbers are stable. When you look at pork and poultry together, they're roughly flat, with poultry up maybe a little and pork down a little bit. And then if you look globally, the hog margins really are up in all regions except China and the poultry margins are better.
 So I feel like the meal demand is okay there. You talk about Argentina, of course, last year, the rest of the world had to make up for Argentina when it didn't run as that crops harvested and the farmer starts to sell and liquidate the crop. We expect to run harder in Argentina this year, and so it will perform better, and that may come at the expense of some other areas, which could possibly be in Europe. So there will be some trade-offs. 
 But I think that's what we've shown in the last few years is that's the beauty of our global platform is that we can adjust and maximize where the margins are as we run our system and serve our customers. 
Operator: The next question comes from Tom Palmer with Citi. 
Thomas Palmer: I wanted to just ask on the second quarter, you did note maybe a little bit of incremental softness. Just what's driving that, in particular? Is it certain segments we should be thinking about or certain regions where maybe it's come down a bit? 
John Neppl: Yes, Tom, this is John. If you look at the -- when we cadence the quarter, it's kind of 60%, 40% for the first half. We ended up a little bit more tilted toward Q1 versus Q2. But largely, the makeup of the quarter hasn't really changed so much in total. And even by segment, it's been more timing. And so where we saw a little bit of over-delivery in Q1 across merchandising and processing. We're seeing a little bit of softness in Q2 in those 2 items. So really more of a view on some of that was timing. It's always hard to predict that.
 But we'll see a little bit -- based on our current forecast, we'll see a little bit down in processing, merchandising, in Q2 versus Q1. I think everything else will hold fairly steady. And there's still time here. We're only really right at the end of April. So we've got a couple of months here yet to see how things shake out. 
Thomas Palmer: Understood. And then maybe we could just kind of shift over to 4Q where you do expect a little bit of an uptick, consistent with a quarter ago. What's really driving that? Is there visibility at this point that really guides that? And then is there any read through, I guess, of that as maybe the environment being improved in later this year that kind of pulls into '25? 
Gregory Heckman: A couple of things on Q4, of course, historically in North America. If you look at where our planted acres are, you assume that soybean crop gets grown, you've got new crop coming off. And also with the amount of stock that U.S. producers carrying, the marketing coming up as close to that new crop being harvested and then the new crop harvest.
 And then the other, like we talked about the like UCO has put pressure on the oil market here in North America with those imports. That's not as economical at this point, while at the same time, you've got another plant coming up on the RD side in Q2 and then another plant in Q4. So you kind of feel like that could be constructive for oil demand as we get out there in Q4. 
 And then we talked a little bit earlier about just globally overall with palm fairly tight. That's what's been supported for oils globally, the SMEs are pretty tight everywhere outside of North America and especially with the pull on the soft oils. 
Operator: The next question comes from Heather Jones with Heather Jones Research. 
Heather Jones: I want to stick with oil demand. So Greg, you mentioned about the Chinese UCO. And yes, it seems like that [ arb ] is closed? And also you have soybean oil that seems to be trading at a unusually -- just out of whack relative to historical values relative to palm oil and canola and the animal fats. And so just wondering if you think there is an opportunity for soy to price itself back into food rations or will that take a longer period? 
Gregory Heckman: No, I think one of the things that we have seen from our food customers is as prices have come back, the programs we're working on with them are really driven around driving volume now, whether it's new products or product enhancements. So whereas we saw when we had kind of the inflationary, all the projects were really focused around cost reduction, they're now looking at driving volume.
 The other thing is with the profitability on the animal side, we may see more of that come back into the feed rations as well. So we think we could -- the one thing historically we know, lower prices are generally good for demand. I think you're on the right track. It's how quick will we see it kick in, but I think we'll get some support from both the food and the feed markets. 
Heather Jones: Okay. And then I have a two-part question. So I was just wondering how you all are thinking about the full year. And like you noted, there's little visibility beyond 3 months. But when you're thinking about the full year, how are you thinking about the magnitude of Argentine crush for the year? And I asked because you mentioned that you think U.S. crush margins should be okay. I'm just wondering what you think, with Argentina come into the market with increased meal flows and then several new plants coming on in the next few months. Just wondering, do you think those margins are going to be lifted by the oil side? And just how you're thinking about how those all -- the interplay there? 
Gregory Heckman: Yes. I think there'll be a little bit of a balance, right? Of course, we've put all this in our outlook currently. But some of what we talked earlier with animal profitability, a little bit of an uptake on the meal demand side from some expansion on the animal side. And then we've got on the oil side, we talked about palm situation from a tightness, some demand growth on feed and food side from the lower price.  And then RD continuing to come on. And then the other is seeing whether these other low CI feedstocks at what pace they can continue to be competitive.
 We don't know if some of that was where their stocks being pulled down and they really can't compete at the same pace, or the other thing is, remember, the big picture is that everyone's trying to take carbon out of their liquid fuels supply chain globally. There are projects going on kind of around globally. So some of the low CI feedstocks that have been moving around the globe as projects get developed, then demand develops in country or in continent. So these flows are constantly changing. So we do expect it to be -- continue to be pretty dynamic on the oil side, and we're really glad we're operating from a global footprint, both on meal and oil. 
Operator: The next question comes from Ben Theurer with Barclays. 
Benjamin Theurer: Greg, John. Just wanted to follow up on just other capital allocation. I mean, obviously, we have the Viterra pending, but I know you have a bunch of other projects pending in terms of growth investments, productivity increase, et cetera. Can you update us as to for the CapEx for this year, which still seems obviously somewhat elevated. What are like some of the projects you have out there? And when do you think they're going to be playing a relevant role as the contribution to the current results. So just around that framework. That would be my first question. 
John Neppl: Sure. Yes. And so Ben, as you know, we've got a number of projects, obviously, going on globally. Greg mentioned the Krishna plant, which is a relatively small one that was commissioned here recently. But in addition to the Destrehan plant expansion that we announced a groundbreaking finally on that a few weeks ago. We've got the other ones that we've mentioned, Morristown SPC plant in Morristown, Indiana underway. Of course, our greenfield oil, specialty oils plant in the Netherlands in Rotterdam, or in Amsterdam, specifically that's underway. And barge unloading expansion in the port in Destrehan, that's going to complement the expansion at Destrehan at the facility.
 Those are -- and then, of course, recently, we had the Avondale plant acquisition that we're also working on an expansion project there. So those are some of the bigger things on the CapEx side because all of those are really underway other than the completion of Krishna. The rest of those really are in process. And Avondale expansion will probably come online a little sooner, but the rest of those are really -- we're talking really 2026 before those are commissioned. 
 Those are all multiyear builds. And so we're still very optimistic about the progress there. They're all on track and things are looking good, but it is going to be probably late '26 before those are up and running. And then, of course, we have CJ Selecta sitting out there on the M&A side that we announced previously that we're hoping to close yet later this year. Whether that happens before or after the Viterra deal is yet to be seen, but that's progressing as well. 
Benjamin Theurer: Okay. Perfect. Very clear. And then my second question, within Agribusiness merchandising, how do you think about the cadence of merchandising, because it feels like it was a little softer into the back half of last year and kind of stabilized now into 1Q actually improved sequentially.
 So as we think about it and the onset within your guidance of Agribusiness being down and you said predominantly driven by the processing side, is it fair to assume that like the annual kind of cadence and what you have at like 1Q that would nicely get you to more or less the same levels of last year within merchandising. Is that a good way to think about it? Is this more stable now? Or what are the puts and takes to that business? 
John Neppl: Yes, that's always a tough one. But I -- right now, I'd say we're expecting to be fairly on track with where we were a year ago in merchandising in total. We were off to, as you pointed out, a sequentially good start versus Q3, Q4 of last year. Right now, we're -- we've pulled some of that forward from Q2, so we still call the first half, I'll say, relatively modest, but a good start. And we'll see. We've got a couple of months here to go, so there's always opportunity. 
 And then the second half of the year, we feel like there should be some opportunity out there. I don't think we're at all overly aggressive in our view for the year. It's pretty -- like I said, it's pretty consistent with the year ago. It's just going to be timing quarter-to-quarter. 
Operator: The next question comes from Andrew Strelzik with BMO. 
Andrew Strelzik: I know we've talked a lot about the soybean oil side, but I just wanted to go back to that one more time. And I guess I'm just trying to think about outlets from a demand perspective, given the market seems to be -- investors seem to be a little bit concerned about inclusion in renewable diesel as a feedstock moving forward.
 So I guess my question is more on the export side. Do you see the opportunity for the U.S. to become a more meaningful soybean oil exporter later this year? You talked about the tightness on vegetable oils globally outside the U.S. So do you view that as an opportunity with as South America comes from more online? Or any other outlets from a demand perspective globally as we think about soybean oil supply demand? 
Gregory Heckman: Yes. The U.S. does have the ability to switch quickly. I mean if you think about it, prior to RD, we held the residual stocks for the world, and we're there to export as the world needed it and called on oil from the U.S. And then as we were building capacity on the crush side as well as building capacity to import other oils and other low CI feedstocks, right? We pulled stocks down and then drove imports into North America. So I think when you think about the U.S., it will continue to be probably the most dynamic on the oil side to help balance things globally. 
 So again, glad we're operating from a global platform and are able to see those different shifts and be able to respond to help serve our customers and balance our crush margins depending on where we're going to run to maximize those. But should be, should be a pretty dynamic year. And then, of course, we continue to see strong demand in India. I don't think I mentioned that, but that's one of the other keys on the oil side as well. 
Andrew Strelzik: Got it. Okay. That's helpful. And then I guess I just wanted to ask about the crush capacity expansions that have been announced over the last several years. Obviously, when those announcements were made, for a number of players, the margin environment was much stronger.
 So I guess, do you see risk that some of those plants don't get built as the margin environment has gotten a little bit more compressed, not so much for folks like yourself that have the end market demand built in. But I guess I'm just curious if you're hearing that or if you think there is risk that some of those, that capacity doesn't ever come online? 
Gregory Heckman: Look, I -- when I look at it through our lens, I mean, things definitely got more expensive to build for a period of time, and that's why we slowed down our Destrehan project. Did the work and we're patient to get the cost down before we did build that.
 Now we're building a switch plant. We're building it at a port to help drive export economics on the meal side. We're at a port and in a location where we can receive domestic oil seeds, whether that's going to be -- and being a switch plant, whether it's going to be soy or whether that's going to be winter canola or whether that's going to be a cover crop as we develop things like cover crest or if it makes sense to import seeds. We're at the port and have the ability to do that. We're also doing it at a brownfield site, so we have lower costs, and we're plugging it into our global network.
 Now I will tell you we are really glad that we are doing that. So personally, I wouldn't want to be a stand-alone plant or building a stand-alone plant today just as an investor. We like where our position is. And I guess what we're doing is being very thoughtful where we put capital in the ground that's going to exist for decades is that we're putting it in a place that continues to improve our global footprint for our cost position for the long term. 
John Neppl: Andrew, maybe I'd just add there that as you could imagine, we watch this fairly closely. And those projects that were well underway are going to continue and get completed, but really, anything that was -- that is proposed or early stages, we've seen a number of those put on hold, at least for now. And I think the expectation on our part would be that with where we are today in the margin environment that those things would probably not get done unless things change. 
Operator: This concludes the question-and-answer session. I would like to turn the conference back over to Greg Heckman for any closing remarks. 
Gregory Heckman: I just like to thank everyone for joining us today and for your interest in Bunge. We look forward to speaking with you again soon. So have a great day. 
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.